Operator: Good day, ladies and gentlemen, and welcome to the Q4 2018 PerkinElmer Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now turn the conference over to your host, Mr. Tommy Thomas, Vice President of Investor Relations. Sir, you may begin.
Tommy Thomas: Thank you, Valerie. Good afternoon and welcome to the PerkinElmer fourth quarter and full year 2018 earnings conference call. With me on the call are Rob Friel, Chairman and Chief Executive Officer; Prahlad Singh, President and Chief Operating Officer; and Jamey Mock, Senior Vice President and Chief Financial Officer. If you have not received a copy of our earnings press release, you may get one from the Investors section of our website at www.perkinelmer.com. Please note that this call is being webcast live and will be archived on our website until February 14, 2019. Before we begin, we need to remind everyone of the Safe Harbor statements that we have outlined in our earnings press release issued earlier this afternoon and also those in the SEC filings. Any forward-looking statements made today represent our views only as of today. We disclaim any obligation to update forward-looking statements in the future even if our estimates change, so you should not rely on any of today's forward-looking statements as representing our views as of any date after today. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures we plan to use during this call to the most directly comparable GAAP measure is available as an attachment to our earnings press release. To the extent, we use non-GAAP financial measures during this call that are not reconciled to GAAP in that attachment, we will provide reconciliations promptly. I'm now pleased to introduce the Chairman and Chief Executive Officer of PerkinElmer, Rob Friel. Rob?
Robert Friel: Thanks, Tommy, and good afternoon everyone. I'm pleased to report that PerkinElmer had a strong finish to 2018 with reported revenue in the fourth quarter increasing 18% over Q4 of 2017 and adjusted earnings per share growing 22%, leading both the top and bottom line of our previous guidance. Our revenue in the fourth quarter was $757 million, representing core organic growth of 7% excluding the impact from EUROIMMUN and our adjusted earnings per share was $1.18. These excellent fourth quarter results concluded the year in which we grew revenue and earnings over 20% relative to 2017, with reported revenue up 23% to $2.78 billion and adjusted earnings per share increasing 24% to $3.61. In addition, core organic growth for the full year was 7% and 8% when considering the impact of EUROIMMUN, resulting in significantly better 2018 financial results than our original guidance in January of last year. We're obviously very pleased with this performance and believe 2018 will mark an inflection point in our revenue growth, profitability, and just as importantly, our ability to make an increasingly positive impact on the quality of life across the globe. Reflecting on last year, we increased our operational execution across the Company, as the Discovery & Analytical Solutions organization has now matured its processes, leadership, and organizational structure and Diagnostics is becoming better integrated across the multiple acquisitions completed over the last few years. In addition, both businesses are experiencing excellent traction on their respective initiatives to accelerate growth beyond current levels. Clearly the portfolio and organizational changes we have made over the last few years have dramatically changed the revenue distribution of our end markets we serve, as well as our capabilities, geographic reach, and product mix. We entered 2019 with a much improved portfolio of businesses and a stronger organization that can better serve our customers, innovate breakthrough solutions, and infuse more simplicity into how we operate. Within Diagnostics, we've evolved from a business centered around the mother and child to a broader specialty Diagnostics provider due to our acquisitions of Tulip, Bioo Scientific, RHS, and EUROIMMUN, as well as breakthrough innovations now driving organic growth. As a result, we now have leading positions in reproductive health, emerging infectious diseases, autoimmune diseases and applied genomics, and have gained new technological skill sets across immuno and clinical chemistry, detection and automation, PCR, mass spec, NGS workflow and single cell genomics. Last year, we received CE-IVD marking for our Vanadis product, which we believe will dramatically increase the accessibility to noninvasive prenatal screening for many more women. The performance of EUROIMMUN continues to be strong as the business achieved mid-teens organic growth in 2018 and exceeded our plan for operating income. Also, we continue to recognize greater opportunities that benefit from end leverage, the capabilities of EUROIMMUN and PerkinElmer, as well as identifying additional synergistic opportunities in reagents, instruments and new markets. Finally, our product and services business targeted on genomics continues to expand capabilities and is experiencing strong market traction. With regards to innovation in new products, last year we generated over $67 million of incremental revenue from new product introductions, exceeding our target of $50 million and driving our vitality index from 28% to 32%. During last year, we increased our R&D spending by $47 million to 9.4% as a percentage of product revenue, up 20 basis points versus 2017. This increased spending not only resulted in incremental revenue but also enabled us to strengthen our scientific and technical capabilities in the key areas of genomics, infectious disease and digital, with most of our new R&D hires in these disciplines. Also during 2018, we continue to access disruptive technologies, executing seven key collaborations in equity investments, further accelerating innovation and access in some of our key growth areas, including reproductive health, and applied genomics, digital and pharmaceutical. In life sciences, we focused our new product introductions in the areas of imaging, reagents and software, and entered 2019 with a much more contemporary lineup of products to serve our pharmaceutical, biotech and academic customers. In addition, we continue to expand our value-added services and IT offerings across one source, bringing new tools, solutions and capabilities to our growing customers - growing base of customers. And within food analysis, we have extended our capabilities within food safety, research and quality, to address the rapidly growing demand for safe, healthy food, and credible science-backed cannabis-based products. Our broad portfolio allows us to serve as a complete food, cannabis and hemp science partner, with full lab solutions including our QSight technology. We now have over $200 million in revenue in the food segment, with cross-PKI offerings, dedicated R&D resources, and focused market specialists. Through the acquisitions of Dani Analitica and China-based Spectrum Instruments, we rapidly expanded our footprint and technical capabilities in the core market of gas chromatography. Dani has critical software and essential technology to revitalize our GC portfolio gain share across several key market segments, including ag-bio, environmental and pharma quality. The Spectrum acquisition provides a highly complementary atomic absorption product portfolio that fill the gap in the inorganic business for the high-growth China region, while also providing products directly into the local environmental, food, and industrial markets in China. Finally, we completed the divestiture of a quantitative pathology solutions business line to further streamline and focus our portfolio. Over the last three years, we executed against the well-defined strategy to shift our portfolio across markets, customers and products. As a result of these changes, we enter 2019 with over 80% of our revenue in the diagnostics, food and life science end markets, up from 50% four years ago. With the environmental and industrial end markets now representing less than 20% of our revenue versus 45% in 2014. From a geographic reach perspective, emerging markets now account for 40% of our revenue, up from 28% four years ago. Our product mix also has shifted significantly. In 2014 consumers - consumables, services and software accounted for 55% of our revenue. Today those products account for nearly 70%. For 2019, we will continue this overarching strategy to leverage our global capabilities in detection, imaging, assays and software to deliver differentiated solutions in priority end markets. As we are already driving several opportunities to deal this in specific end markets that we believe will deliver above-market growth rates. However, based on both our internal work, as well as work with external resources, we believe one of our greatest opportunities lies within the value that can be derived directly from intersections of our technologies and talent across end markets. We are clearly seeing the capabilities in applications that our customers are demanding by increasingly converging. For example, advanced pathogen-detection capabilities, usually in Diagnostics, are readily applicable to the food safety market. The same is true in other areas such as genomics, informatics and mass spec, whether based on shared technology platforms, the use of analytics, and the need for service, digital solutions or the call for integrated seamless customer experiences. Adding to this dynamic is the emerging role of artificial intelligence and machine learning for multiple uses in the life sciences, pharma, food and environmental testing, from detecting ingredient levels in crops to perfecting high-content screening. In recognition of these opportunities, we announced last month the appointment of Prahlad as President and Chief Operating Officer, to help accelerate and advance our capabilities from Diagnostics and DAS to better design, sell and service solutions in the context of our end markets. The new structure we begun to put in place will result in a more nimble focus and effective organization and we believe it poses a significant and unique advantage for PerkinElmer. With that perspective, I've asked Prahlad to discuss how he's approaching the opportunities made possible by the convergence occurring across our end markets. We see this as a powerful growth accelerator and differentiator for the Company and I'm pleased to have him lead that charge in his new expanded role. Prahlad?
Prahlad Singh: Thanks, Rob. PerkinElmer has made tremendous progress over the past several years by expanding in key markets and geographies, driving innovation and improving how we serve our customers. As Rob mentioned, we announced a unique opportunity to increase our impact and the rate of our growth by more seamlessly pulling from the full suite of capabilities available across our organization to serve each customer we have regardless of their end market. Over the next few minutes, I would like to describe how we think about this opportunity and how we will implement it, while continuing to drive our other key strategic priorities this year. Increasingly, solutions to critical problems within science and healthcare are converging. Our goal is to take full advantage of all of PerkingElmer's capabilities, insurance, consumables, software and services to create the most advanced solutions for our customers in the end markets we serve. Despite just a handful of instances of these market synergies, within food, quality and safety, the shift among scientists and researchers to focus on molecular and genomics calls for capability that PerkinElmer has developed within both Diagnostics and DAS businesses. We are therefore no longer viewing food as an analytical business but rather as a broader market with multiple opportunities for our technological capabilities. Or, if we look at our rare disease focused organizations, they are turning to genomic sequencing analysis to accelerate research and to guide drug development. In addition, precision medicine initiatives are employing informatics capabilities to harness big data and gain new insights on the development of lifesaving treatments. We are currently focused on reshaping our organization internally to leverage our capabilities across PerkinElmer so that we are better equipped to serve our customers and support our objectives to grow, innovate and simplify how we do business. This will require us to align our R&D and product management teams in a way that fully utilizes and integrates our capabilities, across businesses and geographies, driving collaboration and accelerating our pace of innovation. We will also ensure that our go-to-market strategy continues to provide a seamless value-add customer experience. Critical to our success will be our ability to affect these changes, while ensuring we continue to focus on three key priorities: number one, providing an exceptional customer experience; number two, being recognized as a leader in innovation; and number three, making people and culture a competitive advantage. Digitalization is a rapid in emerging macro trend that is a critical piece of our strategic priority around providing an exceptional customer experience. It will force us to evolve how we serve and can interact with our customers. In 2019, we will continue to improve our digital capabilities across the Company, while also reducing complexities so that we make it easier to do business with PerkinElmer. This simplify how we rally together to serve our customers. We will naturally be better able to meet their needs and adapt to their changing demands and new technologies. Now, talking about innovation, let me think about the increasingly complex and critical challenges that our customers are facing, it calls for thinking and innovating differently. The first step is to increase our agility and speed to market for introducing new products. This requires both cross-company innovation and generating novel ideas that integrate our core capabilities. With Vanadis and more recently with cannabis testing, our efforts to fully integrate total customer solutions in-house are paying dividends. We will drive more of these kind of breakthrough innovations by leveraging multiple internal capabilities from new markets. This will ensure that customers are turning to PerkinElmer first as a trusted and innovative partner. Our third strategic priority is around our people and culture. Building upon our progress from last year, we continue to create an environment that enables our employees to work at their best. First, adopting more entrepreneur behavior and challenging the status quo; second, sharing knowledge and insights through collaboration and teamwork; and third, seeking opportunities to develop skills and capabilities, as well as cross-business and cross-functional career moments. As more parts of the Company work closer together, identifying and making these opportunities possible should become easier. I'm excited about the opportunities in front of us and look forward to sharing the progress we make with you during the year. Thank you. And I'll now hand it over to Jamey to discuss our Q4 and 2018 financial results in more detail, as well as our 2019 guidance. Jamey?
Jamey Mock: Thanks, Prahlad, and good evening everyone. I want to start with the financial highlights for the fourth quarter of 2018. Next I'll provide some additional color on our served end markets and detail on other financial metrics. I'll finish with a financial summary of our full year results and provide assumptions for our 2019 guidance. Turning to the fourth quarter results. We continue to be pleased with the strength in our business as core organic revenue, excluding EUROIMMUN, grew approximately 7% of our toughest comparison in 2017. Adjusted revenue in the fourth quarter grew 18% to $757 million, beating our revenue guidance of $745 million, driven by 2% higher organic growth. Net acquisitions grew approximately 13% and foreign exchange negatively impacted revenues by 2%. By business segment, Diagnostics representing approximately 40% of total core sales grew 13% organically, driven by our reproductive health and immunodiagnostics business lines. Incorporating EUROIMMUN, Diagnostics would have grown 14% organically. Discovery & Analytical Solutions representing approximately 60% of total sales grew 5% organically in the fourth quarter. It's most difficult comparison in 2017, highlighted by well-balanced strength in both life sciences and applied end markets. I will provide some additional color on both businesses in a moment. Core revenues saw growth in all major geographies with double-digit organic revenue growth in the Americas, high single-digit organic revenue growth in Asia, and low single-digit organic revenue growth in Europe. This represents six consecutive quarters of organic revenue growth in all major geographies. The emerging market regions now represent approximately 40% of total sales and we continue to see double-digit organic revenue growth there, driven by broad-based strength. Moving to the details of our operational performance in the fourth quarter. Adjusted gross margins were up 190 basis points to 51.4%. Operating margins expanded 60 basis points in the fourth quarter to 21.7%, driven by improved adjusted gross margins which helped offset increased investments in research and development. Additionally foreign exchange had a 20 basis point negative impact. Excluding the impact of these additional investments and foreign exchange, our operating margins would have expanded 120 basis points. As Rob mentioned, adjusted earnings per share of $1.18 was an increase of 22% versus the fourth quarter of 2017 and was $0.02 better than our guidance in October. The beat was comprised of $0.03 from favorable incremental margins on higher organic revenue growth and $0.02 from a lower tax rate partially offset by $0.03 from extra growth in investments in R&D. Looking further into the key drivers within our segments for the fourth quarter of 2018, let's starts with our Discovery & Analytical Solutions business. Our results were driven by balanced mid-single digit organic revenue growth in both life sciences and applied market verticals. Life sciences was driven by continued strength in our imaging detection product lines and informatics. We also saw high single-digit growth in the academic end market benefiting from a favorable prior period comparison. We experienced solid growth in the quarter from applied markets, driven by high single-digit growth in environmental mid-single-digit growth in food and low single-digit growth in industrial. Switching to Diagnostics. As mentioned in my earlier remarks, core organic revenue grew 13% driven by our reproductive health business and immunodiagnostics. Within reproductive health the core business grew high single digits and our genomics testing business grew by 50%. The portion of genomics testing related to our sequencing business finished its first-year with revenues approximately $10 million and we continue to see solid pipeline of opportunities heading into 2019. We are pleased to have received CE Mark for Vanadis and placed nine systems at key customer sites in 2018. Core immunodiagnostics was led by strong performance at Tulip and in our China business. EUROIMMUN had a strong close to the year with 16% organic revenue growth. Geographically, high incidence rates had helped China and Germany experience mid-teens-plus organic revenue growth. Looking at below-the-line items, adjusted net interest and other expense for the fourth quarter was approximately $14 million and our adjusted tax rate was approximately 12% driven by discrete items. Turning to the balance sheet. We finished the quarter with approximately $1.9 billion of debt and $163 million of cash. We exited the quarter with a net debt to adjusted EBITDA ratio of approximately 2.9 times and we feel like we have the capacity to look at sizable deals again in 2019. From a capital allocation standpoint, we completed the acquisition of Dani Analitica in Italy for $52 million, and we repurchased approximately 650,000 shares of stock in the fourth quarter at an average per share purchase price of $80. Adjusted free cash flow of $132 million in the quarter saw strong sequential and year-over-year improvement, representing a 100% of cash net income. Turning to the full year results. We are very enthused by our performance. The shape of the portfolio transformation and our organic growth potential which resulted in 7% organic revenue growth and 24% adjusted earnings-per-share growth. As we reflect on our initial 2018 guidance of 4% to 5% organic growth and $3.50 of adjusted earnings per share, we're extremely pleased by the execution of our teams throughout the year. Greater organic growth of 2% to 3% and an improved tax rate of an additional $0.35 which was partially offset by $0.24 from foreign exchange headwinds, extra interest expense, mild share dilution and increased strategic investments. Looking ahead to 2019. We continue to believe that we are well positioned to drive solid organic revenue growth and provide strong financial results for our stakeholders. For the full year 2019, we forecast organic revenue to grow 6%. We expect reported revenue for the year to be approximately $2.89 billion, including $52 million from foreign exchange headwinds and no impact from mergers and acquisitions. We are forecasting $4 to $4.05 in adjusted earnings per share for 2019, up 11% to 12% versus 2018 with foreign exchange impacting the year by negative $0.04, predominantly in the first half. Implicit in this guidance is adjusted operating margin expansion of 120 basis points to 150 basis points, $53 million in interest and other expenses and a tax rate of 16%. We expect our share count to be approximately 112 million. We forecast adjusted free cash flow conversion to be greater than 95%. For the first quarter of 2019 we are forecasting reported revenues of $643 million representing 4% organic revenue growth, including a foreign exchange headwind of approximately $27 million versus the comparable prior period. In terms of adjusted earnings per share guidance we are forecasting $0.66. Due to the impact of the US government shutdown on the approval processes for an export-controlled products. We are forecasting a transient headwind of 2% organic revenue growth and $0.03 of adjusted earnings per share in this guidance. Excluding this impact and a $0.02 foreign exchange headwind, adjusted earnings per share would be up approximately 13% and our organic growth rate would have been up 6%. Before I open the call to questions, I want to introduce Bryan Kipp as our next Vice President of Investor Relations effective tomorrow. Bryan has spent a lot of time in the life sciences space and we're excited to have him on the team. His background on equity research and as an investor brings a unique perspective which will serve all of our stakeholders well. Thanks again to Tommy for his great six years and pulling double dutied for the last three months. This concludes my prepared remarks. Operator, at this time, we would like to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Daniel Arias of Citigroup. Your line is open.
Daniel Arias: Afternoon guys, thanks. Congrats. Thanks. Congratulations on the strategic IR hire that you made there. Rob, on Vanadis, can you just talk a little bit about the early days of the commercial launch and then what your revenue assumption is for the outlook? And then, maybe just with respect to additional data in publications, are those something that we should look for this year? I think, the Rhode Island study finishes somewhere around mid-year. So do you think you'd see something like that coming out in 2019?
Robert Friel: Let me start and maybe Prahlad can jump in as well. So I would say, early start to Vanadis continues to go very well. I would say for 2019, our outlook is really to get 30 installations in with the customers. We'll be in a little bit less specific on the revenue and Dan I think we've talked about this in the past. We're going to see how the ramp occurs. There's a couple of variables we're still trying to figure out. How many of the customers are going to do reagent rental versus capital purchases, what the ramp will be. And so I would say, we're focused right now on getting installations. I'd say right now I think there is 10, we're in the process I think of putting 11 million and 12 million, so we feel pretty good about that. The publications we expect probably midyear, but I would say that it continues to be very high interest level in it? So I don't know if anything you want to add to that, Prahlad?
Prahlad Singh: Yeah, the only thing I would add Rob is that, Dan, the publication from the CE Mark data that should be out by the middle of the year in the process of submitting it. The Rhode Island study that you referred to, you'd probably see abstracts and presentations of that in the second half of the year rather than actual peer-reviewed publication.
Daniel Arias: Okay. And then maybe on the DAS side, it looks like you're pushing higher there than you have been in the past as well. Can you just kind of talk about maybe the confidence that you have for some of the new products and the things that are helping you there being the ones that make a 5-plus percent organic growth level, something that has a multiyear runway if that is in fact the way that you're looking at it.
Robert Friel: Yeah, sorry, we thought this as - I think a lot of that is just the business is executing much better. We've got a fair amount of training with the sales force and I think it's just the maturing of the processes. The other benefit we see is, we have come up with a fair amount of new products more recently. So if you remember Dan back in '17, we came out really more on the analytical side with inorganic portfolio. In '18, we out with a number of products in the life sciences particularly in the imaging area. One maybe I'll highlight in particular is our Lumina, both X5 and S5 is enabling high throughput in vivo imaging. Its high throughput, its multi-modality, it's a complete solution. And so in the imaging area, in particular, we're seeing very good traction there and we feel good about that. I would say that the last thing I'd maybe mention is, we've also over the last probably 12 to 18 months introduced a lot of reagents and I'll say non-rad agents and that's also driving a fair amount of growth. So I think we feel good about the long-term prospects for DAS, and like you said, I think, 5% seems like a sustainable level for us.
Daniel Arias: Okay. Thanks very much.
Operator: Thank you. Our next question comes from Tycho Peterson of JPMorgan. Your line is open.
Tycho Peterson: Hey, thanks. I want to start with maybe EUROIMMUN in the quarter. I think you guys have guided to $102 million which would imply about 53% contribution to the DAS, but it looks like it came in a bit lower around $85 million. Can you just kind of confirm that? And then any update there on driving synergies with DAS, I think, in terms of cross-selling and automation and some of these things you've talked about.
Robert Friel: Yes, I think, first of all, EUROIMMUN, we think had a very good quarter. I think Jamey mentioned it's like 16% or something like that. We're looking for a little higher revenue and that was something I think we mentioned back before, there's been one order that really is a minister of health at a country. And I think as we talked about before, one that over time, then there were some discussions about bundling that in a particular quarter. We thought that was going to be in the fourth quarter. It looks like that order now is going back to sort of over a period of time. And so, we haven't lost that order. It's just a question of, sort of, as you can imagine there's been a fair amount of volatility in that situation there. And so it looks like now it's going to be spread out over a number of quarters rather than sort of a lump-sum. And that's really what would happen in the quarter and why rather than $102 million it came in I think closer to $97 million or something like that, but continues to do well. We're seeing good traction across all their end markets. On the synergy side, Tycho, I think we continue to see increasing opportunities whether it's on the detection and imaging side, whether it's on the assay side. I would just give you one maybe data point. For Vanadis, we use I think it's 10 enzymes. And we asked the EUROIMMUN people to take a look at it. It looks like they can produce 9 out of 10 internal to EUROIMMUN. And obviously, in addition to being supplier within PerkinElmer, it looks like it can dramatically reduce our cost and improve the performance. So it's just another instance of where the more we learn and work with EUROIMMUN, we see greater opportunity across PerkinElmer to benefit both our existing products, as well as potentially new products and new market applications.
Tycho Peterson: Right. And then a follow-up on Vanadis, two quick parts. First, what is it taken your view to kind of penetrate non-Perkin customers in Europe? I mean, obviously there's an upsell to your existing customer base which kind of move beyond that. Can you talk about what you need to do? And then, in the US, if we do get kind of the expansion, the guidelines, for NGS and the average risk, do you think that represents a potential headwind, I guess.
Robert Friel: Yes, I think the thing we've got to do right now Tycho is really get the publications out. I think it's really getting people sort of to understand the sensitivity of it and the performance of the products. I think if we can get that, I think, given the ease-of-use, given the cost, I think we'll be able to penetrate non-PerkinElmer biochemical customers.
Prahlad Singh: And just add to that Rob, especially in the US Tycho, the question that you asked, I think if it does if and when it does go leverage, this we actually see Vanadis as a potential advantage because the focus there is going to continue to be on 13, 18, 21 and cost and I think those are specific advantages that the Vanadis technology brings to the plate.
Tycho Peterson: Okay. Thank you.
Operator: Thank you. Our next question comes from Ross Muken of Evercore ISI. Your line is now open.
Luke Sergott: Hey, guys. This is Luke on for Ross today. I just wanted to dig in a little bit more on some of these new product opportunities in the '19 and what you guys are baking in the guidance. Particularly like the QSight for cannabis, you gave a little bit of color on the Vanadis, but as you continue to roll out those products, how do you expect those to contribute to growth next year or this year and then kind of what's your expectations on the margin as it rolls out?
Robert Friel: So I will say on QSight in cannabis specifically, we think food for us is probably high single digits in 2019 as we sort of built into the forecast. And yeah, I would say the QSight as well as other product opportunities within whether it's Perkin or Delta et cetera sort of contribute to that high single digits. So but I think carve out individual products, I would say, the cannabis opportunity as well as some other opportunities we see globally gives us the confidence to say food probably grows high single digits for us. On the margin side, you wanted just specifically about that product or just generally margins?
Luke Sergott: No just generally on the margins as the new products kind of roll through and then you kind of get the uplift if you - as you were talking about the consumables being a large launch last year.
Robert Friel: Yeah, so - clearly the new products in '18 are built into the 120 basis points, 150 basis points of 2019 growth. I would say, the probably next big margin opportunity for us from a new product perspective is probably doesn't kick in until late '19 or early '20 and I would say that from Vanadis as Vanadis scales, that goes from a product that was negative in '18 probably will continue to be a drag in '19 but becomes a positive contributor in '20 and similar on the genetic testing business. As that ramps up and that volume is up, it probably gets positive in '19 but probably becomes an accretive margin contributor in '20. So I'd probably spike up those two is the biggest contributors. I don't know, Jamey anything you'd add there?
Jamey Mock: No.
Luke Sergott: Okay, great. Thanks. And then, I guess, you're talking about your [indiscernible] you guys are able to do something larger strategically on the M&A front. Kind of how you bake in the opportunities out there given all of the volatility in the public markets and kind of what you guys are seeing?
Robert Friel: So first of all, with regard to the M&A activity, two things. I think Jamey mentioned the fact that because of our capability we'll probably be doing a little bit more. Obviously, 2018, I think we did deploy maybe $100 million or so as we wanted to pay down the debt from EUROIMMUN. So I think hopefully we'll be a little bit more aggressive from a size perspective. I would say the other thing is, we'd like to do more in DAS. If you look at the number of transactions that we did over the last two or maybe even three years was mostly on the Diagnostics side. Some of that was because we were putting DAS together. And as I mentioned, trying to get the maturity of the process into the leadership and the organization. So hopefully as we move into '19, we'll see a little bit more from an M&A perspective and it'll be more balanced between both DAS and Diagnostics.
Luke Sergott: Okay. Great. Thanks.
Operator: Thank you. Our next question comes from Steve Willoughby of Cleveland Research. Your line is open.
Steve Willoughby: Hi, good evening. Thanks for taking my question. Actually I have two. First, I was wondering if you can provide a little bit more color on the transient impact comment you made regarding the government shutdown. And then secondly, you guys did about 7% organic growth here in 2018 and you're guiding to 6% I believe you said. I'm just trying to figure out what slows given whatever revenue Vanadis does generate, it's going to be all incremental and EUROIMMUN will be in the comp now which should add about 100 basis points genomic services business should continue to grow and add to organic growth. So what gets you to go from 7% this year down to 6% in 2019? Thank you.
Robert Friel: So let me start on the transient. So we actually have a product that I would say because of its sensitivity and versatility and I would say unique product features has so many - it requires a license because what I'll define as national security consideration. And I prefer not to go into a lot more than that other than again just sort of talk about the fact that this is a product that has the ability to look at atomic mass units, individual atomic mass units. And so consequently, it requires a US government export license and because of the shutdown for whatever 35 days things are - were concerned that things will be a little backed up there. And so we think some of that revenue for that product pushes out from Q1 to Q2. We'll see obviously we've been open for all about a week. We'll see how quickly we get those applications through the government, but we just thought it was prudent to call that out and sort of adjust our Q1 guidance accordingly. But let me be clear though. This is not revenue that will be lost. This is revenue that will just move potentially from Q1 to Q2. So if in fact we do not get the 2% revenue boost because of this product, it will just move into Q2.
Steve Willoughby: Okay. Thank you.
Robert Friel: Okay. The second question you asked is sort of guide for 6%, and I would say you could probably put it into three categories and I would put it in a classification as we're trying to be prudent here relative to what we see as we think about 2019. First of all, we had very good growth in the pharma life sciences area in 2018 and we think that moderates particularly as you get into the back half of '19. And one of the reasons for that is we've seen - in 2018, we had a very nice ramp up in OneSource. There are some opportunities in OneSource for '19, but they have a tendency to be in the latter part of this year. And so we don't know that they'll have a material impact on 2019. So I'd say that's one area. We have sort of dialed back a little bit on the industrial side. The industrial and environmental side that grew sort of mid-single digits for us last year and we're assuming that's probably a little lighter in 2019. And the third area is China for us, again grew double digits. If you recall in 2018, in the beginning of 2018, we were concerned that that would moderate the high single digits. It actually did not and so that was one of the upsides we saw in 2018. As we say in 2019, we think it's prudent to plan China at high single digits and again we'll see what happens. But that's fundamentally what's driving 6% versus the 7% in 2018.
Steve Willoughby: Okay. Thank you.
Operator: Thank you. Our next question comes from the Steve Beuchaw of Morgan Stanley. Your line is open.
Steve Beuchaw: Thanks for the time. First, I'd love to get your recap if you will of what you're hearing from your customers who have adopted the Vanadis system. I guess, number one is, what do you think is a reasonable expectation fully deployed for the number of samples that can go through one of these samples or one of these installs? And the second part of the Vanadis question is, how do you imagine that the labs which are presumably broader reproductive health labs take on the system, integrate it into the workflow and then deploy it into the catchment of people whom they serve?
Robert Friel: So, Steve, I'm going to ask Prahlad to speak about the Vanadis.
Prahlad Singh: Yeah, Steve, so the initial feedback from our customers has been very positive. In fact, the first two units which we had put in as RU units or research use units have now - those customers have taken on and converted into CE-IVD units and have transitioned it on to routine clinical use. And part of feedback that we are getting from our customers is the ease - not just to ease of use but also the way that they are used to sharing the data and the results with their constituents are easy because it's the same life cycle software that we were using for our biochemical screens on maternal and fetal health. So the end result is that the customers are seeing the same report out as they would for the biochemical. So overall the feedback has been very good. The clinical data and the response that we are seeing is equal to if not in some cases better than what they see for the NGS customers.
Steve Beuchaw: So I want to press on that a little bit. I'm sure that these customers are in areas where they're probably using more expensive technologies to try to get the similar results. Do you get the sense that they want to convert or is this all incremental?
Prahlad Singh: In fact, these customers they are using biochemical screening. And these are the - well, two customers who have switched from biochemical to Vanadis technologies. As you know, in Europe, each country has its own reimbursement policies. And in these two countries, one is on the public side and one is on the private side. They have switched from biochemical to Vanadis.
Steve Beuchaw: Okay. And to tie up your - sticking with the theme of new products and new initiatives, I wonder, if you could give us a view on what your assumption is for EUROIMMUN growth for 2019. And any color on what the backlog looks like for the sequencing in the genetics lab would be great? Thank you so much.
Robert Friel: So I would say for 2019, we're assuming Vanadis - I mean EUROIMMUN is very similar to what we assume going into 2018, which again is consistent with what we did in the acquisition model. And again, if you recall Steve, this was a business that sort of grew in the high teens. We said for purposes of the modeling, for assumptions, we were assuming something in the sort of 13% to 14% range and so that will be consistent. The backlog for the testing lab, I don't know, Prahlad...
Prahlad Singh: Yeah, actually the backlog for the testing lab is very healthy. Earlier we've shared that - the lab - the information systems, the internal software that we are using for LIMS. We have completed the beta testing and that will be fully operational into the lab at the end of the first quarter, early second quarter, and that has sort of allowed us to scale it at a much higher level than it is, but the backlog is very healthy.
Steve Beuchaw: Okay. Thanks you very much. Have a great night, guys.
Prahlad Singh: Thanks Steve.
Operator: Thank you. Our next question comes from Daniel Brennan of UBS. Your line is open.
Daniel Brennan: Great. Thanks. Thanks for taking the questions. I guess, first question is just - I was hoping you can just kind of break down what's implied for growth kind of in 2019 as we think about DAS and Diagnostics. And within DAS, can you give us a little color. I know you've already talked about maybe pharma and industrial moderating a bit, but can you give us some color on the different customer groups and how you expect them to fair?
Robert Friel: So I would say for 2019, we're assuming DAS does sort of mid-single, so called 5-ish, and we're thinking Diagnostics does high single and call that sort of 8-ish. Those are the numbers out, we're sort of assuming in the 6%. With regard to the various groups, as I mentioned before, we think pharma moderates a little bit. If you look at 2018, we did 8% in pharma and we think that comes down a little bit, maybe 100 basis points or something like that. As I mentioned, food, we think continues to high single digit, driven to some extent by cannabis. So as I mentioned before, I think, our assumption is that industrial and to some extent environmental sort of moderates a little bit, where that goes from sort of mid-single digits to low single digits. That's sort of the composition of DAS. Diagnostics, I already mentioned what EUROIMMUN does. I think we're saying reproductive health in sort of high-single digits, mid-single digits, probably in the 7% range, something like that, and applied genomics, probably mid-single digits. And then the immunodiagnostics for PerkinElmer as compared EUROIMMUN is probably high-single digits.
Daniel Brennan: Great. And then maybe can you just on your EUROIMMUN, Rob, so you're guiding for the same growth, I guess, that you started that kind of in the M&A model. But can you just give us an update on the US and kind of where you are with menu and I know at the time of the deal it sounds like over a period of time that can become a very large market. I'm just wondering how is that coming so far and kind of what are you incorporating for 2019 for US in the various regions within your EUROIMMUN growth? Thanks.
Robert Friel: Yeah, first of all, I'd say, the US is performing well. It had very strong growth in 2018 for relatively low base. I would say that our marketing efforts and the FDA approval process continues to go well. I think, at last check, we have about 50 assays that are now approved in the US. And I don't know there's another 12 or 13 in the pipeline or something like that. So we continue to be very bullish on the US side. And like I said, I think the integration is going well. We've trained the respective sales forces. We've moved over the service engineers, so now we're providing our service on EUROIMMUN products. So I would say, yeah, we feel very good about the opportunities in the US.
Daniel Brennan: Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from Doug Schenkel of Cowen. Your line is open.
Doug Schenkel: Hey, good afternoon. I wanted to dig it on margins a little bit more. So first, starting on the performance in the quarter. DAS operating margin went from 20.8% to 20.2% year-over-year. Diagnostics went from 30.4% to 28.9% year-over-year. So segment margins moved down in a period of robust revenue growth, yet overall margin increased year-over-year albeit not to guidance levels. So I was just hoping you could unpack that a little bit. Talk about what happened with segment margins? What were the not segment adjustments and did you pull some investment forward into the quarter? So that's the first thing, just recapping the quarter. Then second, as we turn to next year, 120 basis points to 150 basis points of margin improvements, a pretty big tick-up relative to what we've seen from you recently. Can you just walk us through the components of how you get there? And then longer term, and this is the third part, earlier this month, you reiterated guidance for 22% operating margin in 2020. Again we're building off of 19% in 2018. What type of growth do you need to generate this year and next to get to that level of margin improvement? Thank you.
Robert Friel: So let me start and then I'll turn it over to Jamey to get - maybe a little bit more into the specifics. But let me address and I would say, this would apply to sort of Q4 as well as 2018. And so when I think about margins and let me do it relative to our plan and our guidance for 2018. So if you recall back in - beginning of 2018, we've said 4% to 5% organic growth, 70%, 90% of operating margin and $3.50 of EPS. And as we go into the year, we - three things I would say we saw. One is, revenue was coming in better. Our tax rate, we realized was going to come down a couple of hundred basis points. And I would say, we continue to see fairly significant opportunities to invest for growth. So we made a fairly conscious decision to take that upside, both on the revenue and the tax and invest some of that in growth and we'll say higher R&D, R&D was up, in particular, in the latter half of the year and in selling and marketing and returned some of that in the form of higher EPS. And to just give you a rough estimate, our investments in selling and marketing and R&D relative to the beginning of the year is up about $15 million and we beat EPS by $0.11, which is about $15 million. So if you look at the tax savings and if you look at the revenue, now there is some foreign exchange noise in there as well. But basically we took half of it and put it in growth and put half of it and put it in higher EPS growth. And so we ended the year beating EPS by $0.11 and accelerating our top line growth by 250 basis point and we feel very good about that. The issue is that the geography on the P&L doesn't match up, because the investments that go into operating expenses offset the incremental revenue and impact the operating margin, but the flow-through on the tax obviously is below the operating margin line. So the way we thought about 2018 was to take the growth and the tax, invest it back, accelerate the organic growth rate. And like I said, the net result of that was a very strong EPS growth, beating by $0.11 and we believe accelerating the opportunities on the organic growth. You've seen that in '19 and you will continue to see that in '20. So again to answer your question, how do we get to 120 basis to 150 basis points, Jamey can sort of take you through the specifics of that, but we do not anticipate doing that again in 2019 unless possibly we see another opportunity because our revenue is cranking up and we're going to be significant below the tax rate.
Jamey Mock: Yeah, maybe Doug, just to talk to the segments. If you look at DAS in the fourth quarter, as you mentioned down 50 basis points on out margin line, 40 basis points on the gross margin line. As we outlined at the end of the third quarter with the sale of Multispectral Imaging that had a 25 basis point drag to gross margins in the fourth quarter for us. And then we started to really ramp some of our production in China and so that had a little bit of margin pressure as we ramp up there, which is what we experienced on a gross margin like. Rob spoke to some of the investments we made, so if you look at OpEx as we invest, we invested in sales force in food, cannabis and informatics and I think we're starting to night growth in those areas, so that are going to speeds the DAS. If you look at DX in the way they drive, that's really a function of the EUROIMMUN mix year-over-year. So as you mix in EUROIMMUN at a lower margin rate, that's why we see a drop year-over-year, but EUROIMMUN did grow in the year nicely actually and beat the deal model by $0.06 to $0.07 actually on a year. If you look at the investment we are making in DX, we're investing in largely in APAC. So APAC sales, Tulip sales force and I think we've seen very nice growth in both of those area as well. And I just kind of reiterate a little bit of what Rob said in terms of 2018 versus 2019. You know 2018, the way I think about is 40 basis points. If we look at what we know, what we normally say is we'd like to invest in sales and marketing kind of half of way to revenue, we want R&D to keep up with revenue. We need a lot of sales investing - sales and marketing investments in particular and even uptake the R&D a little bit as Rob mentioned at the beginning of the call here. So that looks about 50 basis points of a drag and then foreign exchange with a 50 basis point drag this year. And I know that markets were kind of volatile. So if we exclude the investment in sales and marketing and R&D and foreign exchange, we think operating margins would have been up 140 basis points this year. Take 2018 and put that in the context for 2019, Rob already mentioned whether the gross margin lines hold up or anything is upside will continue to invest more than we normally do number one. And then number two is, foreign exchange is kind of flip for us. So what is a 50 basis point drag this year is more like at least year-end planning rates at 20 basis points tailwind heading into 2019, so we feel pretty confident in being able to do 120 to 150 and will kind of mirror these investments as they come up and the opportunity as they're arrive and we see other areas that were excelling in like revenue or tax as Rob mentioned then we'll continue to invest otherwise we feel pretty confident in the current market.
Operator: Thank you. Our next question comes from Derik de Bruin of Bank of America. Your line is open.
Derik de Bruin: Hi, thanks. And Doug just took my margin question, so now I got to get creative. So can you talk a little bit more about the 13% core growth guide in the Diagnostics business this quarter and just sort of what was driving that a little bit more detail because it's just - was a much bigger step up than I would have thought, is it pull forward, but it will flus onetime risk, can you just give a little bit more on depth on that?
Jamey Mock: Yeah, it's a little bit higher than we anticipated in the quarter. We only talk about EUROIMMUN coming at in $97 million versus $102 million, let me talk about that. But in the quarter, it was a little higher and as they came in two areas, one is reproductive health, we mentioned low double-digit growth but breaking that down further reproductive health is made up of genomic testing business which we continue to grow and expect to go at very high rates that grew 30%. But even the core business so kind of neonatal, prenatal et cetera grew high single-digits and we were - we throughout the year we've seen mid-single-digits and that we were kind of planning. So we don't know of any flush or pull in or what not, but it's a relatively small business, so you know or it's about $100 million business, so 2% to 3% is $2 million to $3 million, could that happen maybe but not sure. The other area the kind of was strong for us was Tulip. As I have mention we've been investing in additional feed on ground there and marketing efforts and Tulip grew I think over 20% in the fourth quarter. So those two areas grew the core for us. And then the last thing is the genomics testing business that's doing extremely well. So I mentioned I think in my prepared remarks that we were almost $10 million and we were $5 million through the first three quarters. So that obviously had a nice uptick for us here in the quarter.
Derik de Bruin: So can I unpack that one a little bit and just can you talk about a little bit demand that you're seeing sort of like what the project backlog is? And just - I'm sort of curious about the sort of projects you're doing. And also since, I don't know if you're bidding on or you're winning contracts for whole human genome, but I'm just sort of curious about how you're competing in that market given there are a lot of larger players out there. So just a little bit more color on that I think would be useful.
Prahlad Singh: Yeah, so - this is Prahlad. I think the two aspects to the growth in the genomics testing business we are seeing, one is around our partnership with the pharma businesses that are focused on rare diseases and that's where primarily we have a large - a couple of large contracts that we are actualizing and moving forward. And the second piece is more around the two aspects to it. One is around the confirmatory testing around newborn screening. More and more of these states as we gain traction with them that helps and on the neuromuscular disorder relationships that we have. So those are the three aspects that have added to it.
Robert Friel: I'll say one other thing and I get constantly corrected by the person who runs this business. So we have a tendency to describe this business as DNA testing. And in fact, we do some DNA testing, but what we also do is we do protein, we do biochemical, we do a lot of other things. And when you ask how do we compete with the larger labs? My understanding is, we are unique in the ability to offer that complete solution. And so a lot of instances, the reason why we win is because we're not just looking at DNA, we can look at enzymes, we can look at a lot of other areas, and that's differentiated in the marketplace.
Derik de Bruin: Great. Thank you.
Operator: Thank you. Our next question comes from Daniel Leonard of Deutsche Bank. Your line is open.
Daniel Leonard: Thank you. A bit of a follow-up to Doug's question. Fourth quarter gross margins came in a little lighter than we were expecting despite the higher volume growth. Jamey, I think you touched on maybe a couple of the drivers. But could you maybe bridge for me what the gross margin plan was in Q4? What the variance was and maybe offer color on gross margins expectations for 2019? Thanks.
James Mock: Sure, yes. Hi Dan. I would say there were probably two key things, one we knew about and one that changed. So I mentioned the multispectral imaging sale and how that impacted gross margins in the quarter by 25 basis points and that's basically we have now - we're producing that product for the buyer, but we had a very thin margin on that. So our revenue has stepped down quite a bit and that's about 25 basis point headwind. The other thing I would say changed in the quarter on us is, we sold a little less reagents in EUROIMMUN and have a little bit more instruments. So we guided $102 million for EUROIMMUN, it came in at $97 million. So $5 million and a 30% to 40% margin delta on that had an impact on our gross margin line. Otherwise we think it was pretty much in line with what we were anticipating. And then for 2019, we continue to see - we believe that those should be a good - a large portion of this 120 basis points to 150 basis points OM expansion should come through the gross margin line, probably north of 100 basis points. And part of that is what Rob has continued to outline, wherein we've all continued to outline little bit of product mix incremental look better. I think we - as we said at JP Morgan, our incremental this year were at 26% and if we go up to 28% that should help us. And then a little bit of operating - well if operating leverage on the OEM line should get us the whole way there for the 120 basis points to 150 points.
Daniel Leonard: Okay. Thank you.
Operator: Thank you. Our next question comes from Patrick Donnelly of Goldman Sachs. Your line is open.
Patrick Donnelly: Great, thanks. I appreciate the color on the EUROIMMUN growth side. Can you also just talk through the cost of margin side? I know that margins were significantly below Diagnostic's average, I think around 20%. So what are your expectations for 2019 and what are the biggest levers there? Is there anything outside of just pure volume leverage to do?
Robert Friel: Yeah, so - in terms of 2018 EUROIMMUN outperformed what we were thinking from a merchandise standpoint. So we went into new year thinking something like 19% to 20% and it's north of that at this point, let's call it, 21%. So it's done nice. It's definitely a lot driven by volume. But if we look at kind of the future here and what we can do, I think, we've been still pretty light touch from an integration and synergy perspective, so there should be a long way to go here in terms of margin expansion. As we compare that to the core business being more like a 30% OM or high 20s OM. There's obviously a lot of room here. Baked into the guidance next year is something a little bit north of the 120 basis points to 150 basis points that'll - we will continue to get some additional leverage from your EUROIMMUN, but it looks good and it outperformed in this year.
James Mock: Yeah, I would say right now in our model, I think I talked about this in the past. For the first couple of years, we just assumed their margin expansion would be volume driven, so obviously they get leveraged on for their fixed cost. But I think now, owning it now, let's call it, 15 months or something like that, I think we continue to see significant opportunity to go in and maybe some - drive some synergies on the cost side and not disrupt the revenue growth. So I think as we get into 2019, we'll see opportunities, to sort of leverage, what they're doing on the R&D side. I mentioned the fact that the enzymes for Vanadis, there's a number of antigens, they could make for PerkinElmer and I think just on the material productivity and even on the commercial side. I think as we get into '19, we'll be able to do - we'll be able to drive some margin expansion beyond just leverage.
Patrick Donnelly: That's helpful. And then Jamey, just a quick one on capital deployment. I know you mentioned you're kind of thinking you can do big M&A this year, just below 3 times on leverage. Where should we think that you guys kind of max out on the leverage ratio there?
James Mock: I think we appreciate our investment-grade rating. So - but we've been willing to take up to a little over 3.5 times. So absent acquisition, we think we can get down to a net debt-to-EBITDA a little over 2 times and EBITDA should be north closer to $700 million here. So we'd probably have $700 million to $1 billion of firepower for next year.
Patrick Donnelly: Okay. I appreciate it.
Operator: Thank you. Our next question comes from Jack Meehan of Barclays. Your line is open.
Jack Meehan: Thanks for squeezing me in. I wanted to ask about geographically the Americas putting up double-digit growth, screening is pretty strong. Is that just a factor of where some of the new products and services are rolling out or can you talk about what you were seeing here in the US?
James Mock: Yeah, I mean, I think the US has been driven largely by - DAS has been strong, DX is also strong. But I'd say pharma biotech in the US, detection and imaging and enterprise was very strong across this year. I think Rob mentioned that. Some of our enterprise wins have been more in the US and have had a nice revenue growth for us in 2018. So that probably drove a little bit more of the uptick versus the rest of the regions.
Robert Friel: As Jamey alluded to, it's pretty broad-based. I think some of that is the new products. But I would say if you look across a number of end markets, we're seeing good growth. The other one, not a big driver though, obviously cannabis is fundamentally all North American. So that's a driver as well.
Jack Meehan: Great. And one just clean up on the capital deployment. I'm assuming your guidance doesn't build in any share repurchase with the $112 million share count. So you're just assuming that cash generation generates interest. How does that build into the guide?
James Mock: Yeah, exactly. Good question. So we right now do not assume share repurchase. We've assumed pay down of our debt and guided to this kind of EPS range. And any acquisition or share repurchase would have to be accretive. This is our kind of thinking here. So we've kind of modeled, like I said, nearly $112 million. We ended this year at $111.3 million. So obviously it will dilute up a little bit next year in our guidance but obviously that will change throughout the year as we see acquisition targets and look at potentially buying back shares.
Jack Meehan: Sounds good. Thank you.
Operator: Thank you. Our next question comes from Bill Quirk of Piper Jaffray. Your line is open.
William Quirk: Great. Thanks. Good afternoon everybody. A couple of quick ones here. Jamey, just a quick clean up. In terms of your comments, there is no M&A contribution in '19 in terms of - meaning that the overall guidance should be - revenue should be consistent organic versus FX neutral and such. So should we assume then that the impact of the Spectrum deal essentially offsets the quant pathology divestiture?
James Mock: Yeah, including the Dani deal. So we did a handful of small acquisitions this past year and the multispectral imaging taken out that revenue, and offsetting it with some of the other acquisitions, it's neutral to the year. That's the way to think about it.
William Quirk: Okay. Okay, got it. Perfect. And then, Jamey or Rob, just thinking about the first quarter '19 guidance, a little lower than the Street was expecting. Certainly I appreciate that there's a number of moving parts in terms of FX as well as the government's shutdown. Any other quarters or movements that we should be thinking about here throughout the year in '19?
James Mock: That maybe I'll start, Rob. So in terms of earnings, besides from this first government shutdown issue, our profile of earnings is not a lot different than what you'll see on a percentage basis that we did in 2018. So I'll start there. And then in terms of the organic growth rate 4%, like I said, it would be 6% which is right in line with our guidance for the year. So we feel pretty good about that.
William Quirk: Thank you.
Operator: Thank you. Our next question comes from Brandon Couillard of Jefferies. Your line is open.
Brandon Couillard: Two housekeeping items for Jamey. First, can you speak to the spike in account receivables in the fourth quarter? Is that just seasonality? And then, can you help us with a CapEx number for '19?
James Mock: Sure. Hey Brandon. Yeah, I think cash was a little light here at the end of the year, all attributed to working capital. Inventory was kind of where we're starting to plan it to; had a little bit of uptick throughout the year, but that should normalize next year. Receivables, it just was a function of most of our sales in terms in shipments happened in the month of December. So an $80 million uptick was solely attributed to the fact that we shipped a lot in December and it should be collected mostly in the first quarter of next year. So we do anticipate that coming back next year. So that's first. And then CapEx, I think - so CapEx, we're still planning on something like $80 million for next year. This year, we were up to something like $90 million, but next year I think we're starting - we believe we can start taking down EUROIMMUN. We've also invested in a lot of the planned transitions already. So some of those should come down, so I'd pencil that in, Brandon.
Brandon Couillard: Very good. Thanks.
Operator: Thank you. Our next question comes from Catherine Schulte of Baird. Your line is open.
Catherine Schulte: Hey, guys. Thanks for the questions. Just first, you've talked about going to 7% to 9% top line growth in 2020. You've guided 2019 at 6%. So are you still confident in that high single-digit outlook and what gives you those extra two points or so of growth in 2020?
Robert Friel: Yes. I would say we continue to be confident in the high single-digit growth by 2020. And I think what gets us there is the number of, well, I guess what we're referring to as growth accelerators. So as we get into 2020, we expect Vanadis to start to step up nicely. The genetic testing business I think will continue to do well. I think in the food area broadly, and then maybe specific on the cannabis side, I think that provides a fair nice upside for us. And I would say, the last thing maybe I'll mention is, we've got a number of new products particularly on the DAS side that probably comes out in the latter part of this year and early into 2020 and we think that can generate some additional demands as well.
Catherine Schulte: Okay. And then going back to new products, I recognized you don't want to give specific numbers for Vanadis or individual products. But what's your target for total new product contribution in 2019 versus the $50 million goal you...
Robert Friel: Yeah, I would say we're maintaining that number for 2019 as well. Like I said, we've got a number of new products that are sort of coming out later in the half of the - second half of 2019 and so we're maintaining the $50 million. And - but I would say, as we get into 2020, I think that number will sort of step up pretty nicely.
Catherine Schulte: Very helpful. Thank you.
Operator: Thank you. I'm showing no further questions at this time. I will just turn the conference back over to Rob Friel for any closing remarks.
Robert Friel: All right. Well, thank you Valerie, and thank you all for your questions and interest in PerkinElmer. I look forward to updating you on the progress we're making as we take advantage of the numerous opportunities we see this year to both drive long-term growth and improve our profitability and increase the impact we're having on global health. Thanks everyone and have a great evening.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.